Sean McGuckin: Good afternoon and welcome to the presentation of Scotiabank’s Fourth Quarter and 2012 Annual Results. I’m Sean McGuckin, Chief Financial Officer. Rick Waugh, our CEO will lead off with the highlights of our 2012 results. Next I will go over the fourth quarter financial results including a review of business line performance. Bob Pitfield, our Chief Risk Officer will then discuss credit quality and market risk. Bob will be followed by our business line heads will each provide an outlook for the respective businesses for 2013. Anatol von Hahn will discuss Canadian Banking. Dieter Jentsch will cover International Banking. Chris Hodgson will discuss Global Wealth Management. And Steve McDonald will discuss Global Banking and Markets. Brian Porter, our President will then review the financial targets we have set for fiscal 2013, following that we will be pleased to take your questions. Before we start, I would like to refer you to Slide number 2 of our presentation, which contains Scotiabank's caution regarding forward-looking statements. Rick, over to you.
Rick Waugh: Thanks Sean. We are pleased to announce that in 2012 Scotiabank continue to deliver sustainable profitability and growth with strong contributions from all our business lines. For the third consecutive year Scotiabank generated record earnings with net income in 2012 of almost 6.5 billion an increase of 21% from last year. Earnings per share were $5.22 for the year and that included a $0.61 gain for the sale of real estate assets. Excluding these gains in 2012 and the acquisition gains in the prior year, earnings per share increased 8% year-over-year. Return on equity remains strong at 19.7%. Top line revenue grew by 14% to almost $20 billion this year. This clearly demonstrates our ability to generate high quality, sustainable and diversified revenues. Expenses increased from the past year as a result of our decision to continue to invest in expansion initiatives to grow our platform. Our success is demonstrated by our leading productivity ratio this year of 54.3%. Our traditional focus on cost resulted in positive operating leverage across the bank, and of course, our management of credit, market and operating risk keep these costs to a minimum. A high level of internal capital generation along with share issuance in support of our acquisitions strengthened our capital ratios and increased our capital by a remarkable $9 billion. We continue to benefit from the high quality of this capital. As demonstrated by a very strong tangible common equity ratio of 11.3%, a Tier 1 capital ratio of 13.6%, all of these above pre-crisis levels and with significant buffers. As of October 31, 2012, our Basel III all-in common equity Tier 1 ratio was 8.6% or 7.7% after adjusting for the ING Canada acquisition which closed just shortly after year-end. Our record performance this year is a result of sustainable contributions from each of our four business lines. Canadian Banking had a great year with very good asset and deposit growth reinforced by disciplined expense control, lower provisions. Our continued focus on deposits, payments and wealth management has resulted in a strong performance across retail, small business and commercial banking. Our acquisition of ING DIRECT Canada is a game changer as it provide an independent brand, nearly 2 million customers and 30 billion in retail deposits further reinforcing us as the third largest retail bank in Canada. International Banking continued its strong contributions to earnings this year as a result of both acquisitions and organic loan and deposit growth. These results continue to highlight the benefit of our diverse geographical footprint across those regions of the world that are showing above average growth particularly Latin America and Asia. Global Wealth Management had an excellent year also driven by organic growth and acquisition. Both our Wealth Management and Insurance businesses delivered strong results demonstrating the continued strength in both our platforms. We are very pleased in all-well the DundeeWealth transition has gone both in retention of talent and then growth in assets under management as well of course as customer retention. And finally, Global Banking and Markets had a strong year across all our client driven platforms and continues to show the strength of our diversification and a focus on a relationship driven products in markets where we bring special and focused expertise as well the significant investment in people and technology over the last few years in London, New York, Mexico and Toronto is showing excellent results, particular in our Fixed Income Rates business. All of these results are underpinned by each of our business lines adding new customers, either one customer at a time or by acquiring customers to proven platforms like E*TRADE, dynamic funds, ING Direct Canada, Colpatria, and Standard Chartered Bank to name only a few. Since the financial crisis we have made over 30 acquisitions, investing more than $14 billion. All of these transactions have been within our financial and our strategic objectives and are yielding results now and for years to come. We're very pleased with our results and we achieved all our financial targets for 2012. Our earnings per share grew 8% versus a target of 5 to 10%. Our return on equity of 17.6% was near the top end of our target range of 15 to 18%. These results reinforce the proven strength of our business model. Long-term strength and short-term flexibility resulting from the diversifications of our business has provided a platform that allows us to balance both stability and growth. We are also very pleased by last week’s announcement that Scotiabank was the first Canadian bank to be named Global Bank of the Year by the Banker Magazine, a Financial Times publication. We were also named the Best Bank in Canada, Bank of the Year in the Americas. With that, I'll now turn over to Sean, who will now go into our financial results in more detail.
Sean McGuckin: Thanks, Rick. Slide 8 shows our key financial performance metrics for the quarter. Earnings per share for the quarter were $1.18, an increase of 22% from last year and up 2% over the third quarter. Looking at year-over-year changes, Q4 earnings benefited from the contribution from acquisitions, particularly Banco Colpatria, stronger trading revenues, growth in transaction-based banking fees and a lower effective tax rate. Partly offsetting were higher provisions for credit losses and higher operating expenses. The provision for credit losses was 321 million this quarter compared to 281 million in the same period last year. The year-over-year increase was mainly due to a decrease of 30 million and a collective allowance on performing loans last year. And higher provisions in International Banking partially offset by modestly lower provisions in Canadian Banking and Global Banking and Markets. Moving to revenues on Slide 9; revenues during the quarter were solid at $4.9 billion, representing a growth of 15% from last year. The year-over-year increase reflects higher net interest income, which increased due to the impact of acquisitions and higher volumes of core banking assets, across all business lines. The core banking margin increased 9 basis points year-over-year from recent acquisitions with higher spread business. Non-interest revenues increased 20% from last year, due to stronger capital markets revenue, increased banking revenues and payment volumes, and higher mutual fund revenues. Quarter-over-quarter, net interest income was up slightly due to growth in residential mortgages and personal loans, partly offset by decline in the margin in Chile. Non-interest revenues were up 3% versus last quarter, when you exclude the Scotia Plaza gain. As higher banking revenues in Latin America and higher gains on investment securities were partly offset by the decline in trading revenues and the impact of the gain on sale of a leasing business by a quarter. Turning to Slide 10, non-interest expenses were up 224 million or 9% from last year. Acquisitions accounted for approximately 123 million or 55% of this increase. Underlying expense growth year-over-year was mainly due to higher staffing levels for business expansion in certain divisions, as well as an increase in performance-based compensation in line with stronger operating performance. As well premises cost, technology, and professional expenses rose, reflecting spending to support growth initiatives. Compared to the prior quarter, expenses were up 4% due mainly to seasonally higher fourth quarter expenses including higher professional fees, technology cost, advertising and business development. These were partly offset by lower benefit expenses. Expense management remains an ongoing priority and we are pleased to have delivered on our commitment to achieve positive operating leverage in 2012. Turning to capital on Slide 11, you can see that the Bank continues to maintain a strong, high quality capital position. Both the Tier 1 and tangible common equity ratios increased significantly this quarter to 13.6% and 11.3%, respectively, due mainly to the 1.7 billion share issuance to fund our acquisition of ING DIRECT Canada and strong levels of internally generated capital. Our capital ratios remained strong by international standards. We will continue to prudently manage capital to support organic growth initiatives, selective acquisitions and evolving regulatory changes. Furthermore, as on October 31, our common equity Tier 1 ratio under Basel III on a fully implemented basis was 8.6% or 7.7% after adjusting for the ING Canada acquisition. Turing to the business line results, beginning on Slide 12, Canadian Banking recorded another solid performance again this quarter. Net income was 481 million, up 62 million or 15% from a year earlier. Revenue growth was solid at 6% with growth in net interest income up 7%, growth in net fee and commission revenues up 4%. Although the margin was stable year-over-year, net interest income was up due to strong asset and deposit growth. Credit performance improved modestly with loan loss provisions down 3million. Operating expenses were up 3% year-over-year as higher advertising costs and project spending to support business growth were partly offset by a decreased stopping level from operational efficiency initiatives. On a full year basis Canadian Banking had positive operating leverage. Quarter-over-quarter assets increased 2% mainly from solid growth and residential mortgages. Total revenue decrease 1%, due to the gain on sale of a leasing business in the previous quarter. Adjusting for this, revenues were up 2%, mostly from growth in retail assets and commercial deposits. The provision for credit losses increased 14 million to 132 million due to higher provisions and commercial banking. Expenses are up 3% compared to last quarter reflecting seasonally higher expenses and new business initiatives. Moving to International Banking, on Slide 13. Net income in the fourth quarter was 453 million, up 22%, 371 million a year ago. Last year's results included 27 million of negative goodwill from acquisitions. The acquisition of Banco Colpatria in Colombia contributed to the strong growth over last year. Year-over-year revenues increased 18% due to strong loan and deposit growth and the positive impact of acquisitions, partly offset by the negative goodwill in the prior year. Expenses were up 19% or 159 million, two-thirds attributable to acquisitions. The remainder of the increase was mainly due to higher remuneration and premises cost, largely in Latin America as a result of inflationary increases and to support business growth. On a normalized full-year basis international banking had positive operating leverage. Quarter-over-quarter net income was up 2% reflecting solid retail asset growth in Latin America and lower taxes in Chile and Mexico, partly offset by an increase in provisions for credit losses, higher expenses, and the negative impact of foreign currency translation. Provisions for credit losses increased 8 million from last quarter, primarily from higher retail and commercial provisions in the Caribbean, offset by lower provisions in Latin America, mostly related to the acquisition in Colombia. Expenses were up 4% from the previous quarter primarily due to seasonality and to support business development in Latin America. On Slide 14, Global Wealth Management’s net income for the quarter was a record at 300 million, an increase of 15% from last year. Revenues increased 10% year-over-year driven by strong growth across insurance and most Wealth Management businesses. Assets under management and assets under administration grew 12% and 8%, respectively. Of the total revenue approximately 84% was attributable to Wealth Management and 16% to the insurance businesses. Expenses were up 5% from the same quarter last year due mainly to higher volume related expenses partially offset by discretionary expense management. On a full-year basis, Global Wealth Management had positive operating leverage. Quarter-over-quarter, net income increased 6% as last quarter included a non-recurring 12 million deferred tax charge due to the Ontario tax rate freeze which lowered the contribution from our investment in CI Financial. Revenues increased 4% mainly from growth on our Global Asset Management, brokerage and international wealth businesses. AUM increased by 6% and AUA grew 4%. Expenses were up 6% primarily reflecting seasonality and higher volume related expenses. Looking at Slide 15, Global Banking and Markets had a very good quarter with net income of 396 million an increase of 63% or 153 million from last year. This growth reflects a significant improvement in revenues across the platform compared to the challenging market conditions experienced in 2011. Year-over-year revenues increased 37%, primarily driven by higher fixed income revenues as well as stronger revenues in equities, commodities, corporate lending and investment banking. Provisions for credit losses remained very low declining 6 million to 11 million. Expenses were up 5% over last year reflecting higher performance based compensation due to the higher business results. On a full-year basis, Global Banking and Markets had positive operating leverage. Quarter-over-quarter, net income declined modestly by 2 million. This higher revenues and fixed income and from the U.S., European and Canadian lending businesses were partly offset by declines in the other capital markets businesses. Expenses increased 4% from last quarter due to higher salaries, stock-based compensation and professional fees. I'll now turn to the other segment on Slide 16, which incorporates the results of group treasury, smaller operating units, and certain corporate adjustments. Results primarily reflect the impact of asset liability management activities. The other segment reported net loss of 111 million quarter compared to a net loss of 138 million last year. This quarter's net loss of 111 million was lower than the previous quarter’s amount after adjusting for the sale of Scotia Plaza and 100 million increase in the collective allowance in the third quarter, due mainly to higher security gains in Q4. This concludes my review of our financial results; I'll now turn over to Rob who will discuss risk.
Bob Pitfield : Thanks Sean. The risk in our credit portfolios continues to be stable and benign. Our provisions for credit losses on impaired loans remain in line with expectations, increasing by 10 million year-over-year and 19 million quarter-over-quarter to 321 million. Our net impaired loan formations were 374 million, an improvement from the prior quarter. Market risk remained low and well controlled. Average one-day all bank VaR was 19 million versus 20 million in the prior quarter. There was one day's trading losses in the fourth quarter compared to the five in the previous quarter. The loss was within the range predicted by VaR. Our ongoing stress testing confirms the appropriateness of our risk appetite. Slide 19 shows the trend in provisions over the past five quarters, as you can see provisions have declined in the Canadian banking portfolios year-over-year but were up 14 million quarter-over-quarter as commercial provisions increased. Our Canadian retail portfolio remains extremely high quality with 93% of our assets secured and relatively lower exposure to unsecured loans and credit cards. International retail provisions increased 30 million year-over-year, primarily in Latin America as a result of acquisitions, asset growth, and moderating market conditions. The quarter-over-quarter increase reflects higher levels of provisioning in the Caribbean. International commercial provisions declined year-over-year and were stable sequentially at 17 million reflecting higher provisions in the Caribbean, offset by lower provisions in Latin America, mostly related to the acquisition in Colombia. Overall commercial provisions remained relatively low. Continued economic softness in Caribbean has negatively impacted both portfolios, although these portfolios are well managed. Global banking and markets have provisions for credit losses of 11 million this quarter compared to provisions of 17 million in the same period last year and 15 million in the prior quarter. The declines are a result of lower provisions in the U.S. and European lending businesses. Slide 20 shows our Canadian banking residential mortgage portfolio. Our total portfolio of residential retail mortgages is 156 billion of which 142 billion is related to freehold properties and 14 billion related to condominiums. As you can see from the slide, approximately 60% of the portfolio is insured and 40% is uninsured. The uninsured portion has an average loan-to-value ratio of approximately 54%. We believe that solid economic fundamentals and the new mortgage regulation changes will enable the Canadian market to remain healthy and balanced. The continued low interest rate environment and reasonable economic performance will allow consumers to manage their debt levels well. Credit quality and performance of the portfolio remained strong. Our disciplined and consistent underwriting standards through all of our origination channels have resulted in an extremely low loan losses and again, have been stressed under many severe assumptions which confirm our overall risk appetite. To summarize on Slide 21, our asset quality remains high with the retail and commercial portfolios performing as expected and our corporate portfolio is continuing to demonstrate this strength. However, a combination of growth in portfolios and product mix will result in somewhat higher provisions in 2013. We expect the Canadian retail provisions to remain stable. International re-provisions will grow in line with portfolio growth, product mix and a modest softening in economic conditions. We expect corporate and commercial provisions to remain modest. And that concludes my remarks and I'll now turn it over to Anatol.
Anatol von Hahn : Thank you, Rob. Turning to Slide 23, in 2013 we expect to see continued asset and deposit growth in Canadian banking, but with some softening of volume growth in residential mortgages and personal lines of credit. We believe the acquisition of ING Canada will have a strong positive impact on our bottom line and solidify our number three position in retail banking in Canada. Recently, the launch of our new American Express suite of travel rewards cards was unprecedented success that well exceeded our expectations. Through our branches, we continued to do very well with solid mutual fund sales and strong cross-selling of creditor insurance. With continued success in payments, deposits and wealth management, we are confident about our ability to outgrow the market in these fee-based businesses. Turning to assets and deposits we see continued volume growth especially in automotive lending, commercial banking and small business. Retail growth is expected to be solid though not quite as strong as in 2012. Our partnership with Global Transaction Banking has produced excellent results in commercial banking and small business and this will remain a focus for 2013. Looking at the margin we expected to stay relatively stable going forward. However, margin pressure will remain with the low interest rate environment expected to extend well into 2013 calendar year and with continued competition for regulatory qualifying deposits. Turning to PCLs, we expect moderately higher provisions driven by projected asset growth. Our loan loss ratio is expected to remain relatively stable. We also expect commercial banking PCLs to remain near their current levels but as you know these can vary from one quarter to the next. Managing expenses will remain a top priority in 2013 as we reinvest a portion of our savings from operational efficiency initiatives to support growth opportunities. 2012 was an excellent year looking forward Canadian banking will continue to execute on our strategic priorities to further enhance our customer experience supported by optimized distribution channel and efficient operations. Let me now turn it over to Dieter.
Dieter Jentsch : Thank you, Anatol. For 2013, we have a positive outlook for international banking. Despite continued economic uncertainty around the globe, (inaudible) footprint will generate double-digit loan growth. This will be accomplished primarily to organic initiatives. We have a positive outlook for retail businesses. We've continued to build a good momentum over the past several quarters. A relatively attractive rates of economic growth in some of our key retail regions, most notably in Latin America and in Asia will sustain our retail growth trajectory. In addition, we continue to advance in number of organic initiatives including new offering such as premium banking an increased focus on consumer and micro finance segment and process and efficiency improvements to improve costs and our customer’s experience. Four of our commercial businesses our pipeline for 2013 is healthy, especially in our large platforms in the Asia Pacific and Latin American regions. The process improvements that we invested in over the past 18 months which reduce churn on times by more than 40% continue to pay dividends. In partnership with Global Transaction Banking, International Banking looks to make continued progress in building deposits and providing Cash Management Services in our commercial customers. As well we continue to grow our trade finance business particularly in Asia. International Banking continues to work closely with the partners in Global Wealth Management; in particular we are seeing an increasing number of cross-segment referrals between our commercial and retail segments and the wealth segment. On the risk side, we expect PCLs both in dollar and percentage terms will increase modestly. This reflects our expectations of underlying organic growth in our portfolios as well as our acquisition of Banco Colpatria. Turning to expenses, we continue to have a focus on expenses this year and we expect to deliver positive operating leverage in 2013. With respect to margins, we expect them to remain relatively stable. Finally, overall (inaudible) open to attractive acquisitions on a selective basis. Our primary emphasis in 2013 will be the levers to good organic growth opportunities that we already have within our International Banking footprint. With that, I'll now pass it over to Chris.
Chris Hodgson : Thanks, Dieter. Our outlook for 2013 is for good organic growth across our Global Wealth Management businesses, while taking into account market volatility in current economic environment. In our Wealth Distribution businesses in Canada, we continued to invest in our advisor channels to drive growth through new client acquisition. We have experienced strong earnings in our private client business driven by asset and volume growth across all business lines while Scotia iTRADE is well-positioned to gain market share. We are pleased with the contribution from our International Wealth businesses. We anticipate that our recently announced Colfondos acquisition together with our existing Colpatria business will accelerate our scale in the region. As we move forward we will continue to pursue tuck-in acquisitions in international markets that fit our strategic direction. In Global Asset Management, we continue to gain market share in mutual funds against the industry. Our assets under management and assets under administration have increased to 115 billion and 283 billion, respectively and we remain second in the industry in net sales year-to-date according to the most recent IFIC data. Our focus for 2013 is on continuing to explore opportunities to fill product gaps and grow our distribution pipeline by leveraging product innovation and leadership to deliver a broad range of investment solutions, across multiple channels, both in Canada and internationally. We also remained focused on recruiting high quality talent and improving advisor productivity, while continuing to capture both revenue and cost synergies across our business lines. Growth in insurance remained strong both in Canada and internationally. Our multi-year strategy of leveraging the Bank's significant distribution networks is progressing well, and we continued to experience improved cross-sell of insurance. This business maintains strong growth potential and offers attractive revenue diversification, as it is less exposed to market volatility. Our largest opportunity is in leveraging the global distribution reach of the bank. In Global Transaction Banking, we continue to focus on providing comprehensive client coverage across the banks network for deposit, cash management, payment services, trade services and financial institutions. In terms of our strategic investment in CI, we are building our relationship with CI as a preferred partner as part of the growth of our global asset management business and recently extended a number of new mandates to them. Finally, continued scrutiny on expense management remains a focus for Global Wealth Management in 2013. In conjunction with our partners in Canadian and International Banking, and Global Banking and Markets, we expect to deliver a good Wealth Management results in 2013. And with that, I'll pass it over to Steve.
Steve McDonald: Thanks, Chris. In Global Banking and Markets, we expect that market headwinds will continue to impact capital markets businesses with uncertainty still surrounding the economic climate in the U.S. and Europe. However, we are confident that the investments we’ve made in the past few years in fixed income, equities, commodities, and metals will continue to provide momentum in the growth of our stable client focused platform. We expect loan growth to be mid to high single-digits in the coming year, while loan spreads should remain stable. We continue to see some challenges for loan underwriting fees in the absence of an increase in debt related M&A activity. The credit quality of our loan portfolio remains strong and we expect PCL to remain modest. We continue to optimize capital usage and carefully manage our risk exposures in support of our global capital markets platform. Global Transaction Banking services, our prime cross sell products for Global Banking and Markets customer base almost 60% of GBM’s corporate customer base in North America use Global Transaction Banking products or services. Our expense management focus remained strong and we expect to maintain our positive operating leverage and strong productivity ratio in 2013. Our long-term strategy has been to maximize the quality and stability of Global Banking and Markets earnings. We have done this through our investments in the business by continuing focus on diversification across products and geographies and by strengthening the linkage of our products and services with the core clients and geographies of the Bank. With that, I'll pass over to Brian to wrap up with the review of our financial targets for 2013.
Brian Porter : Thanks, Steve. Looking at our targets for 2013 on Slide 31 which are mostly unchanged from 2012. We expect earnings per share growth of 5 to 10% for 2013, excluding the real estate gains we recorded in 2012. For return on equity, we again are targeting a range of 15 to 18% and with our continued focus on expense management; we have now improved our productivity target by reducing it to 56% versus our 2012 target of less than 58%. This improvement reflects the efficiency initiatives that we have implemented over the past few years. We will continue to grow our capital position and maintain strong capital ratios. In summary, these targets represent prudent but consistent growth and a high level of profitability and efficiency, while also reflecting the continued challenging operating environment. We will continue executing on our five point strategy to deliver sustainable profitability. We are confident that we will be able to achieve our targets and objectives, both in 2013 and beyond. With that, I'll pass it back to Sean for questions.
Sean McGuckin: Thanks Brian. That concludes our prepared remarks. Please limit yourself to one question then rejoin the queue to allow everyone the opportunity to participate. Operator, can I have the first question on the phone please?
Operator: Your first question on line is from Robert Sedran with CIBC.
Robert Sedran - CIBC World Markets: Quick question on the business and government side on the international segment at least on an average basis it was down again this quarter. Now, I'm wondering if there's anything, I know last quarter we spent some time talking about the period end balances and the differences between the average. I'm wondering if there is something of that nature that might obscure the underlying trends in terms of the quarter itself. And then Dieter, I don't mean to front run the Investor Conference in January but if you can give us a bit of an idea by region, say Caribbean, Latin America and Asia in terms of the double-digit growth where you're expecting it to come from next year.
Brian Porter: Rob, I'll just answer the first part of your question in terms of loan growth over the quarter and the year. First of all, I'd say that, as you recall, the Canadian dollar was strong relative to most of the currencies that we generate income in, Mexican peso, U.S. dollar etcetera for the quarter. So, that impacted our average assets to the tune of 1.8 billion for the quarter. If you look at a year-over-year basis, our commercial assets grew 21%, 16% ex of Colpatria and our retail assets grew 19% and 10% ex of Colpatria. So year-over-year our asset growth has been very strong and if you break it down by region, which was really the basis of your question, our commercial assets have shrunk by 7% in the English Caribbean. So we’re earning through that and they've also been down in Puerto Rico on our R-G acquisition, which we stated at the time the Fed assisted transaction we did that would be shrinking assets overtime. So against the backdrop of those two issues in the Caribbean, I would also point out that in Asia two things there; one, trade finance volumes were off this quarter. They were off last quarter. That’s partially a function of pricing in the marketplace and competition or competitive pressures in the marketplace. It’s also a function on the commercial side that we had some large pay downs this quarter. So it's a matter of timing more than anything. In terms of Asia we have a strong commercial corporate pipeline coming on, so I’m not unduly worried about asset shrinkage in the quarters ahead and as Dieter said in his outlook, we would expect double-digit asset growth for 2013.
Robert Sedran - CIBC World Markets: So when you think about that double-digit asset growth, do you expect the Caribbean to remain that kind of a drag or are we going to stabilize that portfolio at some point?
Brian Porter: Well, I’d say that there’s two countries in particular that continue to suffer economically in the Caribbean. That would be the Bahamas and Puerto Rico where those two markets haven't found a bit in terms of the real estate markets. In terms of the travel business, the hotel hospitality business for the coming year, bookings are very strong. The strongest we've seen in some time. So, that would mean for some countries this is the second good year in a row and for some countries it's the third good season in a row. So, that's a positive sign. The only negative out there would be the Dominican Republic which is a function of decreased traffic from Europe for the coming year, because they're quite dependent on the European volumes, but I would expect the Caribbean to start to stabilize here. You are expecting positive economic growth in Trinidad and Jamaica seems to be stabilizing somewhat, Barbados is okay. So, we'd expect to see some sort of stability.
Dieter Jentsch : Just following on Brian's points to your question, our pipeline is strong in all our major platforms. If you look at Peru, Chile and Colombia with Asia and you look at the forecast for growth for 2013, it'd range from anywhere from about 4 to 5.5%. So those, we anticipate in a way the first couple of months are shaping up in terms of activity, we see very positive trends there as well as Mexico. Mexico is a large platform that we believe we can generate some good activity, so those larger platforms of the underlying economies are functioning well and we anticipate to be generating growth from those markets at a low double-digit.
Operator: Your next question comes from Gabriel Dechaine with Credit Suisse. Please go ahead.
Gabriel Dechaine - Credit Suisse: In international for Dieter you mentioned or Brian actually, the competitive behavior restraining some of your growth, I'm wondering if you're also seeing that in LatAm, and that's more of a local player or the Spanish banks that are getting more aggressive as banks slows down? And then on the accounting side, IAS 19 looks like there is 1.2 billion pre-tax unamortized pension loss and this is not just for Scotia, but for other banks too. Are you going have to write that off against retained earnings in Q1 2014 and is that number already reflected in your Basel III 7.7% there?
Dieter Jentsch : Gabriel, it's Dieter, I'll start off with the first question. We talked about the competitive pressure in LatAm on numerous occasions. They consistently remain very strong and notwithstanding that we continue to generate good low double-digit loan growth and we don't see that changing in 2013.
Gabriel Dechaine - Credit Suisse: Is it the local players or the foreign players?
Dieter Jentsch : It's a combination of local players and foreign players. It varies from quarter-to-quarter.
Brian Porter : On the second question with IAS 19 the pensions, as you pointed out that is effective 2014. We are still working through that. The net difference between that and what's already on the after the prepaid pension asset gets written off through retained earnings so that would end up in our Q1 2014 capital plan and we'll be planning around that.
Gabriel Dechaine - Credit Suisse: So it's not 1.2 billion it's a smaller number I guess?
Brian Porter : I can't remember exactly what we had in our financial it's around $1 billion I think of which we had a prepaid asset of 300 or so. If freights don't rise and stays where it is, it would be 600 to $700 million hit to our capital.
Operator: Your next question comes from Steve Theriault with Bank of America. Please go ahead.
Steve Theriault - Bank of America/Merrill Lynch : I think you indicated in your remarks that credit losses are expected to rise due to growth in mix and softening economic conditions. Can you help us out a little bit in terms of the loss rate? I can appreciate that the dollar amount of PCLs goes up with growth, but on the loss rate are we looking at just a couple of basis points or with the changes in mix and softening conditions in your base case or your plan numbers, are we looking to approach 90 basis points or something in that range?
Bob Pitfield : No, we will be nothing like that. We’re very low, we’re well below our historical three to five year minimums and quite frankly I would expect to be at that range, the minimum range or below in 2013. If you look through it, the Caribbean may continue to be a little soft, but Mexico will be fine. Peru will have PCL growth, but just as the portfolio self grows, the same with Chile, the same with Uruguay, and the same with Colombia. So we feel very good about 2013, and when we talk about the various factors that will cause the growth, it's really just portfolio growth, which is the biggest issue, and Canada is okay as well; Canada, both on the retail and the commercial side.
Steve Theriault - Bank of America/Merrill Lynch : Just for Sean, does your 7.7 B3 Tier 1 Common, does it include the impact of the pending Chinese acquisition as well?
Sean McGuckin: No, that would be a further 30 basis points, as and when it closes.
Operator: Your next question comes from Michael Goldberg with Desjardins Securities. Please go ahead.
Michael Goldberg - Desjardins Securities: You know that your internal capital generation of about $3.6 billion in the year and now you are talking about your Basel III common equity Tier 1. Let's make an assumption that you didn't increase your risk-weighted assets and if you continued to generate capital internally at that rate, how much would the [set one] ratio increase annually?
Sean McGuckin: We’ve said before publicly that we accrete internally generate capital of about 20 to 25 basis points a quarter and that assumes about an 8% asset growth built into that, so within a year, excluding any acquisitions, about 80 to 100 basis points.
Michael Goldberg - Desjardins Securities: What asset growth did you say?
Sean McGuckin: About 8% risk-weighted asset growth.
Michael Goldberg - Desjardins Securities: One other number question I have, you noted that your tax rate was below normal in the fourth quarter. How much did the regular items impact it and what should your normal TEB tax rate be going forward?
Sean McGuckin: As we did point out in the public commentary, there were some tax recoveries and benefits in international from Chile and Mexico. You know there will always be fluctuations quarter-to-quarter. We like to look at it on whole year basis, so if you take international, for example, their tax rate this is a non-TEB, was about 21% this year, which is up about 0.5% over last year. So international generally between 19% to 23%, but as you said, depending on timing of recoveries during the year, you may get some quarters more or less than others.
Michael Goldberg - Desjardins Securities: How much was it this quarter in terms of the impact on the tax rate and on a consolidated basis what should your normal TEB tax rate be.
Sean McGuckin: On a non-TEB basis I don’t have a TEB with me. On a non-CEB basis our all bank rate would be around 20 to 23% and for this quarter and international I think that rate was above 15% so it was 25 to 30 million of benefits on some tax recovery there.
Operator: Your next question comes from John Reucassel with BMO. Please go ahead.
John Reucassel - BMO Capital Markets: Just maybe I could ask for an update maybe from Brian just on the Guangzhou acquisition, on your Basel ratios. But where does that stand and is there any timing update on that or.
Brian Porter: A number were over in China 6 to 8 weeks ago. We have agreed to commercial terms on the transaction, John. There has been a change of government and the municipality of Guangzhou, with the mayor, the vice mayor level these are important people and very influential in the transaction. So we are spending time with them I think we are in good stead with the CBRC, the regulator over there. So I'm not going to speculate on timing as I’ve said before, these things take time in China and I can't forecast whether it's going to be Q2 or Q4, but we are making headway.
John Reucassel - BMO Capital Markets: Okay. And with the terms of the transactions would be similar to what was disclosed?
Brian Porter: Given that this was announced a year ago, we are going to have to go back and do some due diligence work on the basis that the transaction will proceed to make sure that we are comfortable with the asset quality and the earnings of the Bank and those type of things, but I don't expect you'd see a significant change in commercial terms.
Operator: Your next question comes from Sumit Malhotra with Macquarie Capital Markets. Please go ahead.
Sumit Malhotra - Macquarie Capital Markets: My question is for Anatol. And Anatol, when I look at the commentary you gave in Canadian Banking or the outlook not just this quarter but over the course of the year the net interest margin commentary has stated things like stabilizing or steady, but remains under pressure. The thing is, when you look at the numbers it's hard to see where that pressure is because year-over-year your margin in the segment is virtually unchanged and when I look at some of the components, most of your growth on the balance sheet side has been in the resi mortgage product, at least on a dollars basis and it doesn't look like there's been too much of a change in your deposit profile. So, what is it that you would attribute that steadiness in margin to obviously you've seen your most of your peers have had much more significant declines? Some help there would be appreciated?
Anatol von Hahn: Let me talk to you about two sides of it, one, in terms of where we're seeing deposit in terms of pressure and in terms of squeezing is on the deposit side where it's a lot more competitive, say now this time of the year than it was a year ago and throughout the year. So we're seeing compression in terms of margin on the deposit side. On the positive side, where we've been able to make that up is as mortgages that we've made variable rate mortgage loans over the course of the last two to three years, as they are coming due those customers are in a very large percentage, well over 80%, are taking (inaudible) mortgages where the spreads are higher than the spreads we are making on the variable rates. So, we've got those two affect that are affecting us. There are number of other things, but you are also seeing on the commercial side we got a little bit of tightness in terms of spreads although the pipeline is still good, but the major lines are those two, the deposits on the one side and the renewals of the mortgages and the new mortgages that we are booking on the other.
Sumit Malhotra - Macquarie Capital Markets: So when I look at your disclosure in the presentation, the mortgage balance is up, let’s call it, 11 billion year-over-year. So, your commentary if I hear that right, is that a percent or what percentage would you attribute the new business that’s now going to the fixed?
Anatol von Hahn: I think you've got to look at a little bit wider of a scope, Sumit, and that is that over the course of the year, though we might have grown close to $11 billion we had churn of close to $30 billion. So you also have maturities, loans that we already have, mortgages that we already have that come due that are variable and we renewed those at a higher margin than what we had them on the book on originally. So that’s where maybe some of the math (inaudible).
Sean McGuckin: In terms of total, there is probably at least 85, 90% are going into terms three to five year.
Anatol von Hahn: It varies from month to month, but well above 80%.
Sumit Malhotra - Macquarie Capital Markets: So I think on an organic basis, before I quickly ask about ING DIRECT and leave it there. Obviously the interest rate environment isn’t beneficial to anybody, but it doesn’t sound like on your organic business you are expecting a significant decline in the margin from where you stand today, is that a fair assessment?
Anatol von Hahn: I’d tell you, on the deposit side we are continuing to see a lot of pressure on the deposits, so that’s an area where we are watching very, very carefully. We think we'll offset it though with that we are seeing on the mortgage side and again our variable mortgages that will come due in 2013 should help to offset that.
Sumit Malhotra - Macquarie Capital Markets: Any commentary on early days of ING DIRECT?
Anatol von Hahn: We are delighted, I mean we just closed and we have started to work with ING or more importantly ING Canada has started to work with us. We are as you know and we have talked about we are not going to do an integration, but we are coordinating very, very well and it's as you say very, very early, but we're very pleased with what we have. The management team at ING has their targets and their plan and we are working with them to coordinate better than or well I should say.
Operator: Your next question comes from Mario Mendonca with Canaccord Genuity. Please go ahead.
Mario Mendonca - Canaccord Genuity: I just want to follow-up on that question about retail margins; I thought one of the beneficial effects that played out this year was some of the pre-funding in the covered bond market. If you could just clarify the extent to which that benefited the margin and generated some of the stability and whether the absence of that pre-funding going forward could put pressure on the NIM, did that make a difference or did I misread them.
Sean McGuckin: I don't have the net benefit from the covered bonds, but obviously that's lower cost funding and discrete wholesale funding, but we can get back to you on that specific question.
Mario Mendonca - Canaccord Genuity: Now looking forward though, do you anticipate not having used much covered bonds; well no one really has, whether that could have a negative effect on the margin in 2013?
Rick Waugh: I think we're right on covered bonds, as you're aware the government put the legislation in June and the industry has been waiting for regulations to go with that, so that we can structure our programs in accordance with the regulations. I think that process is nearing an end. So I’d expect early in 2013 we'll be in a position to issue covered bonds again.
Sean McGuckin : Alright, I don't believe there are any more questions on the line. Thank you for listening and have a happy holiday season.
Operator: Ladies and gentlemen, that does conclude the conference call for today. Thank you for your participation. You may now disconnect your lines.